Operator: Good day, everyone, and welcome to the Itron, Inc. Q2 2022 Earnings Conference Call. Today's call is being recorded. For opening remarks, I would like to turn the call over to Ken Gianella for opening remarks. Please go ahead, sir.
Kenneth Gianella: Thank you, operator. Good morning, and welcome to Itron's second quarter '22 earnings conference call. We issued a press release earlier today announcing our results. The press release includes replay information about today's call. A presentation to accompany our remarks on this call is also available through the webcast and on our corporate website under the Investor Relations tab. On the call today, we have Tom Deitrich, Itron's President and Chief Executive Officer; and Joan Hooper, Senior Vice President and Chief Financial Officer. Following our prepared remarks, we'll open the call to take questions using the process the operator described. Before I turn the call over to Tom, please let me remind you of our non-GAAP financial presentation and our safe harbor statement. Our earnings release and financial presentation include non-GAAP financial information that we believe enhances the overall understanding of our current and future performance. Reconciliations of differences between GAAP and non-GAAP financial measures are available in our earnings release and on our Investor Relations website. We will be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions that are subject to risks and uncertainties. Actual results could differ materially from these expectations because of factors that were presented in today’s earnings release and the comments made during this conference call, and in the Risk Factors section of our Form 10-K and other reports and filings with the Securities and Exchange Commission. All company comments estimates or forward-looking statements are made in a good faith attempt to provide appropriate insight to our current and future operating and financial environment. Materials discussed today, August 04, 2022 may materially change and we do not undertake any duty to update any of our forward-looking statements. Now please turn to Page four in the presentation, and I'll turn the call over to our CEO, Tom Dietrich.
Thomas Deitrich: Thank you, Ken. Good morning, and thank you for joining us. You will hear a second quarter details from Joan coming up shortly, but here is a brief overview of the quarter. Revenue was $432 million. Adjusted EBITDA was $17 million. Non-GAAP earnings per share was $0.07, and free cash flow was $10 million. Turning to slide five. Our second quarter bookings were $612 million for a book-to-bill ratio of approximately to 1.4:1. This quarter's bookings performance is highlighted by an agreement with FirstEnergy Corporation for their New Jersey territory provide our network and outcome solutions for AMI combined with grid operations and data management. Itron is a key partner supporting FirstEnergy's efforts to modernize their distribution network. Next, an example of content expansion on top of an existing network footprint, AEP Ohio will be deploying our demand response offering to enhance the reliability of electricity services, especially during peak periods. They also will be deploying our market leading streetlight vision solution for the management and control of streetlights and other smart city applications across the territory. Both solutions will give AEP greater control and drive operational savings in the management of their critical infrastructure assets. And finally, we are pleased to announce a long agreement with Malaysian Utility, Syarikat SESCO Berhad for selecting Itron's network-as-a-service offering for AMI, which will enhance their analytical insights and improve their operational performance. These are just a few examples of bookings that have driven our total ending backlog to a new record level of $4.1 billion, and our 12 month backlog up to $1.7 billion, which is also a new record for the company. Now turning to slide six. I will provide some operational insights on the second quarter. As is apparent from our bookings and backlogs this quarter, market demand continues to be strong for our solutions, particularly in the Networks and Outcomes segment. Most of our new bookings and backlog are based on our latest generation network enhanced by distributed intelligence. These are precisely the type of bookings we want as we continue to focus on higher-value network solutions that drive our analytics and software applications for the outcomes business. While demand for our offerings is strong, we continue to proactively prune non-connected and commoditized products to sharpen our R&D focus. These decisions have reduced our device segment revenue by approximately $50 million year-to-date versus the prior year. While these actions do have near term impact on revenue, they focus and accelerate our growth into higher margin solutions and continue to move towards an asset-light manufacturing model.  Next, I would like to give an update on our supply constraints. Semiconductor component supply continues to impact our business. We anticipated this impact would gate the first half revenue reducing. While we continue to make progress on component supply constraints since our last call conditions we anticipated for the second quarter and the level of improvement for the back half of the year have not yet materialized. Particularly, we are disappointed by persistent shortages associated with analog semi components, which gated our revenue in the quarter, particularly for Network Solutions. The second half improvement signaled by our suppliers earlier in the year have not emerged at a sufficient pace to meet our existing and consistently growing demand.  We currently anticipate modest incremental improvement in component supply during the second half and easing constraints as we head into 2023. We continue to take actions that are in our control such as product redesigns, multi-sourcing, prudent efforts to secure supply through alternate channels and building additional inventory when appropriate and available. Finally, I would like to give you some insight on the inflationary pressures and operational inefficiencies impacting our performance and the price cost actions we are taking to offset them. Our second quarter gross margin was impacted by increased input costs and factory inefficiencies due to uncertain and evolving component constraints.  Some of these costs are temporal and will reduce as component supply and factory utilization improves. Structurally, we have made strides in reducing manufacturing overhead, streamlining our operations and moving to a more asset-light model the last few years. These continued efforts, combined with our ongoing pricing actions will improve our margin performance towards our operating model as component supply availability improves. Now I will hand off to Joan to cover our second quarter results and updated 2022 outlook in more detail.
Joan Hooper: Thank you, Tom. I will cover the second quarter results and then provide an update outlook for the full year. As Tom just mentioned, our second quarter results continue to be impacted by component supply shortages and cost pressures. Please turn to slide seven for a summary of consolidated GAAP results. Second quarter revenue of $432 million declined 12% versus last year or 8% in constant rent. The year-over-year decrease was due to supply shortages, limiting our ability to meet customer demand, particularly in our network segment. Q2's revenue was gated by over $100 million, similar to the Q1 impact. Q2 gross was 29.2%, 140 basis points lower than last year due to higher component and manufacturing costs driven by the continued supply constraints, slightly offset by the exit of lower-margin devices product lines. GAAP net loss of approximately $37 million or $0.82 per share compared with a loss of $33 million or $0.73 per share in the prior year.  Regarding non-GAAP metrics on slide eight. Non-GAAP operating income was $9 million, adjusted EBITDA was $17 million. Non-GAAP net income for the quarter was $3 million or $0.07 per diluted share. Looking at revenue by business segment on slide nine. Device Solutions revenue was $105 million, a $43 million or 27% year-over-year decline on a constant currency basis. The decrease was primarily due to exiting certain product lines, including sale of our non-communicating mechanical C&I gas business. Network Solutions revenue was $269 million, a $6 million or 2% year-over-year increase in constant currency as we ramp to new deployments. The year-over-year growth in networks was significantly reduced by the impact of the component shortages. Revenue in the Outcomes segment was $58 million, a $2 million or 3% decrease in constant currency versus last year. The decline was due to lower product and software licenses.  The growth in our Outcomes segment continues to be impacted by the decline in our European prepaid business and the delay of deployments in our Network Solutions business in North America. Lastly, foreign currency changes resulted in $19 million lower revenue versus the prior year. Moving to the non-GAAP year-over-year EPS bridge on slide 10. Our Q2 non-GAAP EPS was $0.07 per diluted share, down $0.21 from the prior year. Net operating performance had a negative $0.20 per share impact due to lower gross profit, driven by the component shortages and higher input costs. Lower interest expense resulted in a $0.01 increase year-over-year and a higher tax rate had a negative $0.02 impact. Turning to slides 11 through 13, I'll discuss the Q2 results by business segment compared with the prior year. Device Solutions revenue was $105 million with gross margin of 13% and operating margin of 5%. The gross margin declined 550 basis points primarily due to inflationary cost pressures.  Operating margin decreased 710 basis points due to the fall-through of the lower gross profit. Network Solutions revenue was $269 million with gross margin of 33%. Gross margin declined 280 basis points from the prior year due to inflationary cost pressures and manufacturing inefficiencies related to component constraints. Operating margin of 23% decreased 130 basis points due to the fall-through of lower gross margin, partially offset by lower OpEx. Outcomes revenue was $58 million with gross 39%, an increase of 50 basis points year-over-year. The increase was due to improved operational efficiencies within this segment. Outcomes operating margin was 16%, 460 basis points lower than last year due to higher R&D investments. Now turning to slide 14. I'll cover liquidity and debt. Free cash flow was $10 million in the second quarter compared with $64 million in the same period last year. The year-over-year decrease was primarily due to lower EBITDA and the timing of working capital. Cash and equivalents at the end of the second quarter were $209 million. Gross debt remained flat at $460 million and net debt was $251 million. Net leverage was 3.8 times at the end of Q2. Now turning to the full year 2022 outlook on slide 15. Our original 2022 guidance provided last February assumed a significant improvement in the availability of component supply in the second half of the year. Unfortunately, the component environment remains heavily constrained, which will continue to limit our revenue the back half of this year. Our updated outlook reflects this latest view of supply.  We now anticipate full year 2022 revenue in a range of $1.85 billion to $1.9 billion versus the $2.0 billion to $2.1 billion we provided in February. Earnings will also be negatively impacted by the fall-through of the lower revenue as well as continued inflationary costs and anticipated factory inefficiencies. This results in a non-GAAP EPS outlook range of $0.70 to $0.90 per diluted share versus previous guidance of $1.25 to $1.75 per share. This updated outlook assumes approximately 45.3 million average shares for the full year. We are assuming a euro to U.S. dollar foreign currency exchange rate of 1.06 in the second half of the year, and a full year non-GAAP effective tax rate of approximately 30%.  While we are very disappointed that component constraints are continuing longer than expected, we anticipate that the supply situation will start to improve by the end of this year. We will continue our customers to realign their deployment schedules. And as supply availability begins to improve, we will gradually start fulfilling the deferred demand. Now I'll turn the call back to Tom.
Thomas Deitrich: Thank you, Joan. As we discussed, the demand for our solutions is at record levels. we are disappointed at the pace of improvements in component supply during the first half and now expect constraints to persist during the second half with modest improvements by the end of the year and then easing into 2023. We have not seen customer cancellations nor do we expect any as our growing backlog is resilient against these constraints and other macroeconomic slowdowns. We continue to work closely with our customers to provide the best visibility possible to align project schedules. Turning to slide 16. I would like to close the call by highlighting our new ESG and proven benefits reports we published in June. Our ESG program is embedded in the DNA of our products and services that support sustainability, diversity and accountability of our key stakeholders. Our solutions directly reduce risk, drive efficiencies, reduce emissions and assist in managing consumer demand. We continue to develop solutions that enable our customers to improve sustainability and conservation. Our dedication to creating a more resourceful world is significant motivation for the entire company as our products and services will not only benefit us today but for future generations. Thank you for joining today. Operator, please open the line for some questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from Jeff Osborne with Cowen & Company.
Jeff Osborne: Hey good morning, guys. I just wanted to dig into the analog semiconductor supply issue. I was wondering what you're hearing from your suppliers around additional capacity and locking that in or potential product redesigns. Do you have any date in mind as we look out into 2023 when you're getting more assurances that you'll have more reliable supply?
Thomas Deitrich: Yeah. The outlook that we get from suppliers today is gradual improvements through the back half of the year. And indeed, that's what you heard us talk about in terms of setting outlook for the year. It's a combination of redesigns and multi-sourcing on our side, plus some incremental capacity improvements that suppliers are putting in place. And then there's also a little bit of fall off in demand in other areas. Certainly, that's not what we see in our sector. Our demand is very, very strong, but other areas of their portfolio tend to fall off, which makes room for some of the other components that we want to put our hands on. In the second quarter, there definitely was some impacts associated with the shutdowns in China that impacted some of the near-term things and added some instability into the mix in the short run. But the longer term trends for improvement are in place. And indeed, that's what we see from our suppliers as well.
Jeff Osborne: Got it. That's good to hear. Two other quick ones. On first, on Energy New Jersey, great to see the progress there. I think their Ohio territories recently filed a case for metering. Have you been the sort of primary FirstEnergy partner AMI rollouts historically in other jurisdictions beyond New Jersey?
Thomas Deitrich: FirstEnergy is a longtime broad customer of ours, and we would absolutely anticipate working with them in other territories as well. As you know, we don't put anything in backlog on our side until two things happen. One is a signed customer contract, but the other is regulatory approval. And that's what gives us real confidence in terms of what our backlog will look like and resiliency against other macroeconomic forces. So I would look for us to continue to support FirstEnergy in a broad sense.
Jeff Osborne: Got it. And my last one for you is just - in particular, on the outcome side, I think it's been a bit slower to evolve than both myself and investors have expected. I'm trying to get a bridge to that. Is it mainly just the slower pace of network rollouts occurring that then impacts the timing of license revenue recognition? Or is it more of some other issue on the competitive dynamic? Can you just walk through, in particular, the outcomes piece and what's around there in terms of the growth trajectory?
Thomas Deitrich: Yeah. Happy to do so. Good question. And in your preface there, you really nailed it. It is the timing of deployments. In general, what we see from our customers is when they set up a new project, a new network, it takes a little while to get that installation done, get it stabilized, get everything integrated into their back office solution, and that's when they started adding in incremental applications from our point of view and services. So as we have seen some slowdowns in the network side of things, initially, just COVID rollout and then some regulatory delays, which have long since past, but still rippling through given the long tail of how our customers operate and now some component supplies. That has sort of pushed things out. That said, underneath the covers, all of the right conversations are going on with customers, we see real hunger for more agility in terms of how they use their assets given volatility in the world today and plenty of good discussions with our customers that we believe in a long-term very bright future for our Outcomes business.
Jeff Osborne: That’s great to hear Tom. Thanks for the clarity I appreciate it.
Thomas Deitrich: Sure. Thanks, Jeff.
Operator: You will hear our next question from Ben Kallo with Baird. Please go ahead.
Ben Kallo: Hey. Good morning, everyone. So just going thinking about how the supply chain constraints alleviate into next year by the end of the year, like I think Joan, you said when you talked about guidance. How do we expect the ramp, is it like catch up? Or you get like a big ramp-up? Or is it kind of a gradual ramp when those constraints are eased? And I have a follow-up.
Joan Hooper: Yeah. Our expectation is it is more of a gradual ramp. A number of factors come into play. Obviously, first of all, you need the component supply to become available, and that's primarily in the hands our suppliers, we would need, obviously, the production capacity to be able to catch up and to support our customers. And then, of course, our customers need the installation capacity, so the timing of their deployments. And as the impact of supply constraints has gotten bigger and bigger, it's harder to catch that up very quickly. So our view is it's not in any way a snapback recovery. It is more a gradual recovery once the supply chain raises.
Ben Kallo: Thank you. And then I think you said this, Tom, in the prepared remarks about the backlog, and there hasn't been any change in customer decisions. But has it impacted any future deals just with any ongoing talks and your people worry about your constraints and what you can deliver?
Thomas Deitrich: So in terms of the backlog in place today, as you correctly stated, no cancellations or any concerns around that side. Customers are eager to get the product. And of course, we're eager to get to deliver it as soon as we can put our hands on the proper components relative to new deal flow. No, we have not seen any changes in customer behavior on that front. Clearly, there is conversations around what the supply chain recovery looks like. But generally, the cycle for customers to go through regulatory approval and begin projects we're beyond the horizon of what is on deck in terms of the supply recovery. So customers are thinking about, obviously, the order in which they do projects based on their particular business outlook, but no change due to supply on our side. The hunger for the technology is very real, very strong. And in any way, all of the volatility in the world today only makes the things that we do more valuable for our customers.
Ben Kallo: Got it. And just one housekeeping. Just on the device side. How do we think about -- I know back at Analyst Day, you talked about decline as you exit from the business and wound that down? I think it was like mid-single digits or something like that. But how do we think about what the sales that you've done so far just as we head into the next year, just so calibrate correctly on the top line? Thanks.
Joan Hooper: Yeah. So if you think about the sale that we announced back in - I guess, in the fourth quarter of the mechanical C&I gas business. That business was roughly $100 million annual business. So we only owned it for two months of this year. So that gives you quite a big impact in terms of year-over-year. In addition to that sale, we've been active pruning and exiting certain businesses that just didn't have the margin profile that we were looking for. So if you look at even whether you look at the quarter or year-to-date, devices is down pretty significantly year-over-year. If you take FX out, which is fairly sizable for them. It's really a function of the sale of the business and the exiting of those businesses. So the run rate for this year is more appropriate for next year as opposed to any kind of historical number for devices.
Ben Kallo: Thank you.
Operator: We'll take our next question from Kashy Harrison with Piper Sandler.
Kashy Harrison: Good morning and thank you for taking my questions. So just maybe strategic one. You indicated that China had an adverse impact on the business this quarter given the lockdowns. Trying to - they seem pretty committed to the whole Zero COVID policy. And it feels like every iteration of COVID just keeps getting more and more infectious, which suggests that another shutdown is unfortunately a matter of when and not if. And so my question is, is there any way to diversify the supply chain away from China or is that just basically impossible?
Thomas Deitrich: The - I think there's two parts to the question that you asked there is our direct supply, we've diversified away from China pretty dramatically. It is our suppliers supply chain deeper into the cycle, which was what we saw an impact from in Q2. So I think lead frames for semiconductors, not the semi directly that we buy. Is that diversification that you talked about ongoing? Absolutely, it is, and that is part of a lot of long-term semiconductor trends, some of which are even in the news from a government stimulus point of view is really all about. So absolutely will take a bit of time for our suppliers to adapt things. I do expect that it does even out over time, but it is a little bit lumpy as that work is ongoing.
Kashy Harrison: Thank you. And as my follow-up question, or my next question. The Inflation Reduction Act was announced a few a few weeks ago, just or maybe it was last week, it's been a long earnings period. But can you maybe discuss any impact - any potential impact to your business? Any thoughts from reading the bill, any upside as you look over the next several years if this bill becomes law?
Thomas Deitrich: Sure. So I think that there's been a number of pieces of legislation, some signed and some still in process that read directly on the products that we have. So if I start with IIGAA, grid resiliency and water infrastructure, clearly, are places that we are involved in and something that's really helpful for us. IIGAA also had some EV investments, which we indirectly participate in. And certainly, this latest build that's still throws have working its way through the Inflation Reduction Act that you mentioned have some significant investments in clean energy, which we read on. And probably the most interesting part of this recent piece is the boost on EVs.  The load on the grid from EV growth is far outstripping what the infrastructure is capable of doing. And most any conversation that we have with customers or any of the third party studies that are out there says the amount of investment in the distribution grid because of the growth in EVs that's projected the next decade or two is many, many hundreds of billions of dollars no matter how you look at it. So that is something that is exciting for us to be a part of and something that we will work hard to and our customers through, whether it is driven by government investment or just driven by consumer behavior, it's going to read on the products that we provide for our customers.
Kashy Harrison: Thank you.
Operator: Thank you. We'll take our next question from Graham Price with Raymond James.
Graham Price: Hi, good morning. Thanks for taking the question. So I guess, first off, looking at the revised revenue guidance, just wanted to see what is the embedded assumption there on the full year impacts from the component shortages? I believe previously, you said it was your expectation was $200 million for the full year, but it looks like we've already reached that mark.
Joan Hooper: Yeah, let me take that. So if I think about the revenue guidance, the reason revenue guidance came down is entirely due to the supply situation. So when we gave the original guidance, as you indicated, we thought a couple of hundred million in the first half and then things would recover drastically in the second half. And unfortunately, that hasn't happened. So it will clearly be bigger than the $200 million. So Q1 and Q2 were both over $100 million each. So we're above $200 million year-to-date. As we talked about in the script, we expect it to get gradually better through Q3 and Q4, so each a little bit better. And as we enter '23, we continue to be expecting that things will improve. So it will be really quite different than we expected, and that's really the reason for the decline.  If you look at the first half versus second half implied by kind of the midpoint of the guidance, there's about 7% growth. And to the earlier comment Ben had about devices, the growth from first half to second half is not devices. It's really networks and outcomes. Networks is the segment most constrained by the supply. So as that continues to gradually improve, you'll see networks pick up. So hopefully, that addresses your question.
Graham Price: Got it. Yeah, that's clear. And then I guess with my follow-up, it looks like both R&D and G&A costs dropped quite a bit from Q1 to Q2. Should we assume that this lower run rate continues?
Joan Hooper: There's always going to be some timing issues when you think about OpEx. In general, our target for OpEx long term continues to be kind of 22% to 23% of revenue, but obviously, the revenue has been heavily constrained. We continue to control discretionary spending, but we're not going to do anything shortsighted here and a knee-jerk reaction to the current supply shortages because it is temporal and it will improve over time. My expectation for the year is our OpEx will be pretty close in the second half to what it is in the first half. And if you look at -- for the full year, we'll be slightly below what we spent last year.
Graham Price: Got it. Thank you very much.
Operator: Thank you. [Operator Instructions] We'll take our next question from Thomas Johnson with Morgan Stanley.
Thomas Johnson: Hi, thanks. Question on the 12 month backlog number. Obviously, $1.7 billion is very strong. It does imply a reasonable bare case scenario for 2023, just with what's already booked. So it would be helpful for us thinking through the risk profile of '23, just to kind of give us an overview of what type of improvement you assume in supply chain to get to that 12 month backlog? Or is that just current scheduling and there could be shifts from that? Thanks.
Thomas Deitrich: Sure. The $1.7 billion in 12 month backlog really is the true demand picture that is in place today. Obviously, the rollout of that and transition, if you will, into revenue is dependent on the component supply. As we've signaled, we think component supply is going to get better sequentially in the back half of the year compared to first and then components constraints tend to ease into 2023. The exact profile of that is really what is still ahead of us. So it's a little early to talk about the details of what 2023 would look like other than the demand picture is extremely strong, and we're pleased with the response of our customers. We're going to work as closely with the customers and obviously, suppliers as aggressively as we can in that backlog into revenue.
Thomas Johnson: Thanks, that's very helpful. And one more on the backlog. Just given prior quarter comments going out to customers for - with long-term contracts just the willingness to possibly revise some pricing on some of the longer dated contracts. I guess of the $1.7 billion, can you give us a sense of how much of that was priced, call it, prior to the second half of 2021?
Thomas Deitrich: The backlog itself constantly profiles and rolls through. The way to think about it is that the total backlog, if you will, of that $4.1 billion is roughly about a four-year period with $1.7 billion of it in the first 12 months. That's roughly the profile. You'd have to look at the we have and re-profile it all the way through. Since the 2021 time frame, we've obviously been indexing contracts, been working hard to re-price as much of the existing backlog as we can. But that is an ongoing process that we would have. So I would look at our near-term turnover and use that to profile it through knowing that it's about a four-year cycle to get all the way through the backlog.
Joan Hooper: Yeah. The overall, I think, question around margin, I would say, for this year, built into our guidance is an assumption that given the margin pressures and the inflation pressures and the - it takes a while to get the pricing through that our assumption is that our margin is going to end the year pretty similar to what the first half was as a percent.
Thomas Johnson: Understood. Thanks for the thoughtful response and I’ll pass it back.
Operator: Thank you. We'll take a follow-up from Noah Kaye with Oppenheimer.
Noah Kaye: Thanks so much. And we're jumping around a bit today. But I want to ask you a question that's been coming up in some of our discussions with companies. It's really around operational continuity and mitigation planning in Europe. We could be heading into a very tough waiter in terms of the energy supply there. So I guess how are you thinking about that? Any concerns we should be thinking about, either for you or frankly, for the utility customers that may have their hands full dealing with that?
Thomas Deitrich: Good question. Certainly, most of our business in Europe tends to be turns-based business. So it is less present in the backlog than what we do in North America. For example, given the divestiture that we did last year, most of what we do in Europe now predominantly tends to be on the water side of things. Water has been a bit more stable in our electricity and gas activities. We have seen, and Joan referenced this in her earlier comments, some slowdown in the prepaid world given some of the energy prices and people making decisions based on affordability but overall. But we think that watching out for returns-based business is something that is prudent for us to do in the European theater. The interest for our customers in energy efficiency solutions and the ways that they can better help their consumers has increased because of this. So that would be perhaps the silver lining in ways we'll continue to support our customers going forward. But water being less affected, which is piece of what we do.
Noah Kaye: Okay. Perfect. And then can you just talk a little bit about wallet share trends? You continue to provide those metrics on KPIs for managed endpoints, DI end points. But where are the wallet share trends per endpoint at this point? Are you seeing any inflection? If so, kind of with what applications that you would call out?
Thomas Deitrich: We definitely see increasing interest in distributed intelligence. So this notion of being able to download applications into an endpoint, how people are using that capability is a mix grid side activity. So looking for ED detection or a rooftop solar behind the meter, battery detection to help them understand distributed energy resource management opportunities. We definitely see a pretty significant uptick in demand response interest as the cost of peaks in the grid, which energy prices where they are is increasing dramatically. So DR is another area with increased interest. Both of those tend to help us on both the network and the outcome side, and that is indeed reflected in the backlog. It takes a bit of time, as I mentioned earlier, for that to through from backlog into operation, but those are the areas of key interest on the part of our customers.
Noah Kaye: Great. Maybe if I could sneak in one more. In the prior call, you commented on book-to-bill exceeding or at least being one for the year. I guess just with the guidance cut on revenues, presumably that's more than a 1:1 book-to-bill. Just any expectations on maybe where we exit the year in terms of the book-to-bill and how the backlog looks on exiting the year?
Thomas Deitrich: Good question. The pipeline of opportunities that we have continues very rich. The customers are keenly interested in the types of solutions we provide as it reads directly on the things that they are struggling with in their operations. We have not seen bookings being impacted based on near term component availability issues. And as a result, the book-to-bill number is off to continue to be strong for us. Okay, you could always have some lumpiness quarter-to-quarter, but we're definitely looking for a good bookings year.
Joan Hooper: Yeah. I mean, if you look at where we are year-to-date, we were 1.13:1 [ph] in the first half. So certainly would hope to be above one for the full year. But as Tom said, there's some lumpiness in there, but there's lots of things in the pipeline we're optimistic about.
Noah Kaye: Great. Perfect. Thanks so much for taking the questions.
Operator: Thank you. And that does conclude today's question-and-answer session. I would now like to turn the conference back over to Mr. Dietrich for any additional or closing remarks.
Thomas Deitrich: Well, I thank everyone for joining us today. I truly appreciate it, and we look forward to updating you in the next couple of months. Thanks, all.
Operator: Thank you. And this does conclude today's conference. We thank you all for your participation.